Shyamali: My name is Shyamali, and I will be your conference facilitator this afternoon. At this time, I would like to welcome everyone to Fortive Corporation's Fourth Quarter and Full Year 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. I would now like to turn the call over to Ms. Christina Jones, Vice President of Investor Relations. Ms. Jones, you may begin your conference. Thank you. And thank you everyone for joining us on today's call.
Christina Jones: I am joined today by Olumide Soroye, Fortive's President and CEO, and Mark D. Okerstrom, Fortive's CFO. During today's call, we present certain non-GAAP financial measures. Information required by Regulation G is available on the Investors section of our website at fortive.com. We will also make forward-looking statements, including statements regarding events or developments that we expect or anticipate will, or may occur in the future. These forward-looking statements are subject to a number of risks and actual results might differ materially from any forward-looking statements that we make today. Information regarding these risk factors is available in our SEC filings, including our annual report on Form 10-K and the subsequent quarterly reports on Form 10-Q. These forward-looking statements speak only as of the date that they are made, and we do not assume any obligation to update any forward-looking statements. Our statements on period-to-period increases or decreases refer to year-over-year comparisons unless otherwise specified. And our results and outlook discussed today are on a continuing operations basis. With that, I'll turn the call over to Olumide.
Olumide Soroye: Thank you, Christina. Let me begin on slide three. Q4 was another quarter of solid execution by our new Fortive team. With the first February 2026 strategic and financial plans firmly in place, our strong conviction in the road ahead continues to build. In July, we began our journey as new Fortive, united by one mission, aligned around two segments serving attractive end markets with strong secular tailwinds, and guided by a clear strategy with three pillars: accelerate profitable organic growth, allocate capital with discipline, and build and maintain investor trust. All with the goal of delivering benchmark-beating shareholder returns in the years ahead. Our Q3 and Q4 results reinforce our conviction in this path. While we are still early in the journey, we are diligently executing the Fortive Accelerator strategy and sustaining the operational rigor that Fortive is known for. We enter 2026 with optimism, enthusiasm, and an unrelenting focus on execution. I have five key messages to cover today. First, our teams continue to execute well with the power of our Fortive business system driving solid Q4 results ahead of our expectations. In Q4, we delivered core growth of just over 3%, adjusted EBITDA growth of 8%, and adjusted EPS growth of about 13%. We were pleased to see another quarter of growth acceleration in the business, knowing that we have even more growth upside ahead of us. Second, our strong Q4 earnings performance resulted in full-year adjusted EPS of $2.71, exceeding the high end of our guidance range of $2.63 to $2.67.
Olumide Soroye: Third, we continue to deploy capital in accordance with our disciplined approach, anchored in optimizing shareholder returns over the medium to long term. In the fourth quarter, we executed an additional $265 million of share repurchases, bringing total second-half repurchases to $1.3 billion. We are diligently progressing our Fortive Accelerator strategy to deliver benchmark-beating shareholder returns. I'll spend a few minutes on this in the next slide. Finally, as we turn our focus to 2026, we are initiating full-year 2026 adjusted EPS guidance of $2.90 to $3.00, representing approximately 9% year-over-year growth at the midpoint. Moving to Slide four. Before we turn to our Q4 results, I'd like to highlight the progress we've made on each of the three Fortive Accelerator pillars. Beginning with our focus on driving faster profitable organic growth. In terms of innovation acceleration, this quarter, we continue to accelerate new product introduction velocity, including offerings aimed at high-growth verticals. At Fluke, we launched a new data center testing solution, Certified Max, with the fastest time to report in the industry, helping customers test and validate complex fiber systems quickly and accurately. At ServiceChannel, our third major product release of the year went live in Q4. This release enhances maintenance professional onboarding, work order visibility, compliance, and payment efficiency. On the commercial front, we continue to intensify our focus on faster-growing end markets and regions, where we have been making deliberate targeted investments. This quarter, we saw early signs that our targeted actions are resonating in the areas we've prioritized. Fluke delivered another strong quarter in data center, Industrial Scientific's expanded commercial coverage drove acceleration in EMEA, and our investment in a broader sales team for Fluke and ASP in India directly contributed to strong growth in the region. We also made progress in advancing the recurring elements of our portfolio, enhancing customer engagement, and strengthening the durability of our revenue streams. In Q4, recurring revenue again grew faster than consolidated revenue, driven by continued strength in Fluke's maintenance software and deeply embedded data as well as AI-enhanced software capabilities across iOS and AHS segments. Moving to the second pillar, disciplined capital allocation is an integral component of our Fortive Accelerator strategy. Consistent with our priorities, in 2025, we repurchased about 26 million shares or roughly 8% of our diluted shares outstanding. We also continue to refine our M&A funnel and processes to reflect our go-forward strategy, prioritizing accretive bolt-on deals that meet our rigorous strategic and financial criteria. In the second half of the year, we closed two small transactions that met this high bar, enabling us to actively strengthen our M&A muscle. As we look to 2026 and beyond, our capital deployment priorities for new Fortive remain crystal clear: invest in organic growth, pursue bolt-on M&A where the risk-adjusted returns exceed other uses of capital, return capital through share repurchases, and maintain a modest growing dividend. All with a focus on best relative returns and maximizing medium to long-term shareholder value. Moving to our final pillar, building and maintaining investor trust. We were pleased to deliver performance ahead of expectations in Q3 and Q4, including adjusted EPS that surpassed the high end of our guidance range. We recognize there is more work to do here, and we remain confident and focused on delivering the 2026-2027 financial framework and further acceleration that we committed to at our Investor Day in June 2025. With that, I'll turn it over to Mark to walk through our financial results for the fourth quarter. Thanks, Olumide. I'll begin with slide five.
Mark D. Okerstrom: In the fourth quarter, we delivered total revenue of $1.1 billion, up just over 4.5% year-over-year on a reported basis, up just over 3% on a core basis. We are pleased to see volume growth return and solid performance across all regions. We again delivered core growth in both iOS and AHS, with iOS outperforming our expectations and AHS performing broadly in line. In iOS, solid customer demand and strong commercial and operational execution drove acceleration from Q3, with better-than-expected results in professional instrumentation and in gas detection. In AHS, overall results were broadly similar to Q3, including continued strength in healthcare software. From a geographic perspective, all regions grew nicely, with North America delivering another quarter of solid growth, APAC growth remained steady, and Europe accelerated from Q3. An encouraging data point, but not yet a sustained trend. Latin American sales also picked up the pace of growth sequentially, driven by strong performance in professional instrumentation. Adjusted gross margin in the quarter was about 63%, down about 150 basis points from prior year driven largely by product mix, the net effect of tariffs and countermeasures, and targeted growth investments in our AHS segment. Q4 adjusted EBITDA was $358 million, up about 8% year-over-year. Adjusted EBITDA margin expanded approximately 100 basis points to nearly 32%. This strong operational performance was driven by operating leverage alongside continued progress on deliberate organizational streamlining across the portfolio and a sharpened focus on corporate cost discipline. We delivered adjusted EPS of 90¢ in Q4, up about 13% year-over-year, marking our second quarter of double-digit EPS growth. Strong adjusted EPS performance was driven by growth in adjusted EBITDA and the positive year-over-year impact of share repurchases, partially offset by modestly higher tax expense. Our full-year adjusted EPS of $2.71 represented year-over-year growth of just over 12%. We generated about $315 million of free cash flow in the fourth quarter and about $930 million of free cash flow for the full year. Our full-year 2025 free cash flow conversion on adjusted net income remains nicely north of 100%. Moving to our segment results, starting with Intelligent Operating on slide six. Revenue for the segment grew just over 5% on a reported basis with core revenue growth of about 4%, nicely ahead of our expectations. Growth was driven by both price and volume and reflected solid performance across professional instrumentation, facility and asset lifecycle software, and gas detection products. At Fluke, we saw strong FBS-driven commercial and operational execution and resilient customer demand, resulting in another quarter of modest sequential acceleration despite the challenging comp from prior year. North America continues to be the strongest growth driver, and we were encouraged by early signs of improvement in Europe and green shoots from commercial efforts in Latin America and Asia Pacific. Our facilities and asset lifecycle software business continued to deliver solid results, driven by strong demand for multisite facility maintenance and marketplace software in North America. Government demand for procurement and estimating solutions is beginning to stabilize but remains pressured compared to the strong growth we saw for several years post-COVID. Our gas detection business is growing nicely, buoyed by strong demand and share gains. We saw particular strength in our hardware-as-a-service product line and broad strength in North America. Adjusted gross margin in the segment was just under 67%, down about 130 basis points, primarily due to product mix and the net effect of tariffs and related countermeasures. Q4 adjusted EBITDA in the segment grew 8% to $288 million, driven by operating leverage and reduced costs associated with flattening and rationalizing segment-level organizational structures, partially offset by targeted growth investments to support innovation and commercial initiatives. Adjusted EBITDA margin expanded to just over 37% in iOS, which is up about 100 basis points from prior year. Moving to our advanced healthcare solutions segment on slide seven, delivered total revenue of $353 million. Revenue grew approximately 3% year-over-year and 1.6% on a core basis. As we noted throughout the year, we continue to see reimbursement and funding policy changes impact the AHS segment, specifically the deferral of US-based hospital capital expenditures. However, demand trends improved again in Q4, and we are encouraged by the health of the commercial pipeline and positive customer feedback regarding the superior technical performance of our low-temperature sterilization offer. Our software products in the segment continue to deliver solid growth, fueled by strong execution and structural advantages from resilient SaaS-based revenue models. Adjusted gross margin in the segment was 56% in Q4 versus roughly 58% in the prior year period, driven by strategic investments to drive growth. Q4 adjusted EBITDA in this segment was $92 million, and adjusted EBITDA margin was 26%, with year-over-year variance driven by our growth investments as we position ourselves for acceleration in the years ahead. Turning to Slide eight, as noted earlier, we deployed an incremental $265 million to share repurchases in the fourth quarter, reflecting continued confidence in our ability to deliver on our value creation plan. Additionally, we repurchased another roughly 2.5 million shares since the end of the quarter, bringing total fully diluted shares outstanding to approximately 315 million as of the date of this call. Our balance sheet remains strong. We finished the year at 2.6 times gross debt to adjusted EBITDA, and we have ample capacity to execute on our capital deployment priorities in 2026. As previously highlighted, our full-year 2025 free cash flow was about $930 million, with free cash flow conversion on adjusted net income nicely over 100%. We remain steadfast in our commitment to our capital allocation priorities and an overall approach that seeks best relative returns. Moving to slide nine, we are initiating our full-year adjusted EPS guidance of $2.90 to $3.00 per share. This outlook assumes a continuation of the market dynamics we experienced in Q4. It also reflects current tariff rates, with tariffs net of countermeasures not currently expected to be meaningful to the bottom line in 2026. Let me provide a few additional considerations to assist with modeling. Based on current foreign exchange rates, we are assuming reported revenue of nearly $4.3 billion and core revenue growth in the range of 2% to 3%. We are planning for a mid-teens adjusted effective tax rate on a full-year basis, with Q1 through Q3 in the high teens and Q4 in the high single digits to low double digits. We are currently modeling a full-year net interest expense just over $120 million. Our current diluted share count is roughly 315 million shares, taking into account the incremental share repurchases done since the end of the fourth quarter. In terms of the shape of the year, on a reported basis, we would expect top and bottom line to broadly follow recent historical patterns. At current rates, we would expect FX to be an approximately 300 basis point tailwind in the first quarter, a tailwind that should ease as we move through the year. As the year unfolds and we continue to execute on our Fortive Accelerator strategy, quarterly phasing may evolve. As a final note, before turning it back to Olumide for closing remarks and Q&A, we're off to a strong start at New Fortive, and we remain committed to unrelenting execution on the Fortive Accelerator three-pillar value creation strategy and financial framework that we outlined at our June 2025 Investor Day. We recognize there is much more to do, but momentum is building, and we're excited about what lies ahead. I'll now turn it back over to Olumide.
Olumide Soroye: Thanks, Mark. I'll wrap up with a few reflections on where we are and where we are headed. We are now a stronger, more focused Fortive. Over the last six months, we've simplified our operating model, sharpened our strategic and capital allocation priorities, evolved our Fortive business system into an even more powerful engine for sustained growth, and elevated our team's focus on the source of all growth, our customers. That clarity is translating into stronger internal alignment and real excitement across our teams. Importantly, we are seeing signals that our Fortive Accelerator strategy is working. First, in 2025, we delivered accelerating growth, expanding margins, and double-digit EPS growth while investing deliberately in the initiatives that position us to deliver on a multiyear financial framework we outlined at Investor Day. Second, we are allocating capital with discipline to deliver the best rate of return over the medium to long term and executed $1.3 billion of share repurchases in the last two quarters. Finally, we are committed to building and maintaining investor trust, and we are pleased to have delivered results ahead of expectations in our first two quarters as New Fortive. We are encouraged with the progress we've made in these early innings. However, we have significant unfinished business and untapped potential, and we are driving with urgency, intensity, and accountability to unlock it. As we look ahead to 2026 and beyond, we are confident in the path we're on, energized by our momentum, and committed to delivering strong performance for our shareholders. I want to thank every one of our Fortive team members around the world who do extraordinary work every day and dedicate themselves to our shared purpose of innovating essential technologies to keep our world safe and productive. And every one of our 100,000 customers who entrust us with their mission-critical safety and productivity needs. Thank you all for your continued interest in Fortive. With that, I'll turn it to Christina for Q&A.
Christina Jones: Thanks, Olumide. That concludes our prepared remarks. We are now ready for questions.
Olumide Soroye: Thank you.
Shyamali: We will now be conducting a question and answer session. Our first question comes from the line of Deane Dray with RBC Capital Markets. Please proceed with your question. Thank you. Good day, everyone.
Deane Dray: Hi, Olumide. Hey, maybe we can start with getting some color on Fluke. It's always helpful to get a sense of the sell-in and sell-out in terms of the short cycle demand there. But it looks like you're also getting good traction with the new products. But if we could start there, please.
Olumide Soroye: Thanks for the question, Deane. So, I mean, we're very pleased with Fluke's performance and the durability of demand in that business. Just to give you a few data points, our POS trends were broadly consistent with what we've been saying in recent quarters, with North America remaining the strongest region. But we also saw encouraging improvements in EMEA and LatAm, and APAC was holding steady. So in terms of end demand, solid and strong signals overall. And then the other growth at Fluke continued in the fourth quarter. We're quite pleased to see that. Above one. And, you know, kind of the channel inventory outside the US continue to improve. We expect that to continue through 2026. So everything you look at in terms of market signal is very strong. You know, Fluke is also just a great example of the impact of our Fortive Accelerator strategy and how we're executing that. So the pace of new product innovation in Fluke is faster than ever. Targeted commercial investments in markets like data center and defense, the recurring revenue in Fluke, which we've talked about now a few times, that continued to grow double-digit ARR within Fluke. And it's just an exciting piece of the resiliency of that business. So really feel good about the momentum there. Was with the Fluke team last week, and the excitement level that they feel about the growth opportunities has never been higher. And for me, that's an important signal of what's to come. Great. And just as a follow-up, could you talk about price? What was price? How much of a contribution in the quarter? What are you assuming in your guidance? And any color on price cost or a couple of references on tariffs?
Mark D. Okerstrom: Sure, Deane. I'll take that. So in the quarter, price was about 2%, volume about 1% roughly. I would say 2026 is roughly in line. We got a bit of a price tailwind in 2025 due to the tariff countermeasures we did. But I would think about it as broadly in line.
Deane Dray: Great. And price cost?
Mark D. Okerstrom: Yeah. We're not going to provide that level of detail. I would just say that, you know, generally, you know, we feel good about the gross margin scenarios going forward. And again, we're really committed to the 50 to 100 basis points of EBITDA margin expansion that we provided in our financial framework, and we're going to use all the levers down the P&L to drive growth.
Deane Dray: Great. Thank you.
Mark D. Okerstrom: Welcome. Thanks, Deane.
Deane Dray: Thank you.
Shyamali: Our next question comes from the line of Julian Mitchell with Barclays. Please proceed with your question.
Julian Mitchell: Hi, good afternoon. Maybe, and I realize you don't give sort of explicit quarterly guidance, but maybe if you could help us a little bit more with how the first quarter is starting out the year. I think the last couple of years with new Fortive about 20% of the year's EPS. I just wondered if there was anything this quarter that would make it a huge outlier versus that and sort of allied to that, are we expecting organic sales growth each quarter is in that 2% to 3% full-year range roughly?
Mark D. Okerstrom: Yes. Thanks, Julian. You know, I think I've been just turning to our prepared remarks in terms of the quarterly phasing, and we do expect reported revenue as well as adjusted EBITDA to broadly, you know, follow the trends that we've seen in terms of distribution across each of the quarters. And that takes into account all factors. As you know, as always, there's, you know, a few things with days here and there. We've got a little bit of favorability in Q1 and a little bit of a negative in Q4, but that's all accounted for in the shaping color that we've given. And then just as a reminder, you know, we did call out that we thought there would be about 300 basis points of tailwind from FX in the first quarter, particularly. I would say that we feel good about how the year started. You know, January, you know, has come in, you know, very solid. And so, you know, all of the shaping guidance we've given has really taken that strength into consideration.
Julian Mitchell: Thanks very much. And then just my second one, maybe on margins. AHS, you had some margin pressure in the fourth quarter, and you called out reinvestments. I think maybe give us some more color on is that something that's, I don't know, multiyear reinvestment need? Or it was just something very localized in late 2025, and we should see AHS margins pick up again in the year ahead?
Olumide Soroye: Yes. Thanks, Julian. Short answer is it's very localized in Q4. I mean, that segment overall, as you know, has relatively strong gross margins. That's a result of the strength of our brands. And we'll keep getting better, frankly, with the innovation pace that we're driving that I generally imagine are accretive products. And the fact that our software and consumables component of that segment also raise the fleet average. And the, you know, Fortive business system value analysis, value engineering journey continues. So the path of margin improvement in the segment remains firmly intact. And for Q4 specifically, we deliberately made some strategic investments that really set us up well for top-line growth acceleration, and that's investment with customers, sales and marketing, R&D. But they're very localized in the quarter versus a long multiyear journey type of thing. The general trend should be margin improvement.
Julian Mitchell: That's great. Thank you.
Olumide Soroye: Thanks, Julian.
Shyamali: Thank you. Our next question comes from the line of Nigel Coe with Wolfe Research. Please proceed with your question.
Nigel Coe: Good afternoon, everyone. Maybe just a quick and same question, different flavor. Based on your comments, Mark, about normal seasonality, it feels like should be within the range in pretty much every quarter, 2% to 3%, including the first quarter with 2Q probably your best quarter given easy comp. Just want to make sure we're not too far off base. And then maybe on the framework, I think you said 50 basis points of margin expansion. I wasn't sure if that was the right number. And then the share count of 315, that's what's in the plan for the full year as well.
Mark D. Okerstrom: Yeah. I'll take those in reverse order. 315 is, in fact, what we're modeling as well. 50 to 100 basis points is the financial framework for the 2026-2027 period. And I think I would model that for 2026 as well. And then in terms of core growth, I think you're in the ballpark, and I think you've got the comp right. I mean, Q2 is a particularly easy comp.
Nigel Coe: Okay. It seems that you're being very conservative with your framework of the EPS, but understandably as well. And then my follow-on is really on the software side. You're aware of all the concerns around AI with the kind of software model. So just maybe just take that head-on and kind of what are seeing in the software businesses in a bit more detail? Are there any areas of pressure? And then given the sort of the pullback we've seen in software asset valuations, is this a good time to be buying software assets?
Olumide Soroye: Yeah. Thanks. I'll take that one. So as it relates to kind of software and AI, we really see that as a meaningful acceleration for what we do in software. Because keep in mind, not all software is the same. What we do are mission-critical enterprise software kind of provisions for customers. And they have a number of characteristics, including deep workflow integration, proprietary data assets, high regulatory requirements. A lot of them have large two-sided networks with tens of thousands of participants. All of them make them really sticky and really systems of record for our customers. And so what we're seeing is a strong pull from customers for us to deploy AgenTeq and GenAI-powered enhancements, which drives even better customer experience and deep integration into our customer workflows. And frankly, that's part of what's contributing to the growth momentum we're seeing. So net-net for us, really AI is an opportunity, and we're actively seizing that across the portfolio where it makes sense. And to your question about, is it a good time to buy software assets? It hasn't escaped our attention that the bar is really high right now if you're looking at any software assets to make sure it can withstand the appropriate questioning on what AI means for it. So I think it just raised the hurdle, Nigel, in terms of the scrutiny that goes into any software asset. And like we've mentioned, our focus now is on really targeted bolt-on deals out of the small, and we're not specifically hunting for software assets at this point.
Nigel Coe: Great color. Thank you.
Olumide Soroye: Thanks. Thank you.
Shyamali: Our next question comes from the line of Scott Davis with Melius Research. Please proceed with your question.
Scott Davis: Hey, guys. And Christina, congrats on the timing of that buyback. It seemed pretty beneficial to you guys. So look, we're trying to get used to kind of a new management team here and kind of how you guys guide. The $2.90 to $3.00 is a pretty tight range versus what we're used to in industrials. There's a lot of variables in any given year. But is the $2.90 to $3.00 more a function of you feel like you've got that kind of visibility and the puts and takes are kind of all coming together, particularly given your share count and such? Or is this, again, just trying to get a sense of how you guys are planning on guiding going forward and maybe just give a little color there would be helpful.
Mark D. Okerstrom: Yes. Thanks for the question, Scott. You know, I think it's a byproduct of, I think, the durability of the business. I think the improvements we've made in forecasting the business, and then I think some of the decisions we made in 2025. I think the share repurchases in total give us about a 600 basis point tailwind to EPS net of the interest expense on it. So that gives us a fair bit of comfort. We've got a good command on the cost structure of the business. We've taken costs out of the business in 2025. We started reinvesting that in the fourth quarter. And I think when the K comes out, you'll see G&A down, sales and marketing up, R&D up, you know, consistent with the investment priorities we've made. And we've got, you know, really clear views on how we're translating our strategic plans through, you know, PD into our operating plans, and we feel good about execution. So I think all of that combined, again, with the recurring revenue profile of the business, gives us comfort in the range that we provided.
Scott Davis: Okay. That's good color. And guys, I know the term bolt-on is all in the eyes of the beholder, but what does, when you think about a five-year plan, and imagine, I think when Fortive was spun out, there was actually a ten-year plan that Jim talked about. But when you guys think about a, just talk about a five-year plan, what kind of a tailwind do you think bolt-ons are? Is it 1% on the top line? Is it 2%? Is it, or is it just too hard to say given, you know, just really the opportunistic nature?
Olumide Soroye: Yeah. I think the last piece of your question there, Scott, is the answer. I think it's hard to call a number based on the opportunities to make sure of it. The thing we do know for a fact, Scott, is that the value creation pieces that we've laid out here, which we're quite pleased with how this is shaping up in our first couple of quarters here, it's really compelling and does not require us to do anything dramatic from an M&A point of view. We're really focused on this idea that we are going to get this set of businesses to grow much faster organically by deploying the power of the Fortive business system with the enhancements we're making to it and investing smartly from an organic point of view. So that's the primary channel in our strategy, and we're going to go full steam on that. And bolt-ons, again, are smaller deals, so I just kind of enhancements to the value creation story, but we're not going to call a number on what it has to have because it is very opportunistic and not required for our success.
Scott Davis: Yeah. Makes sense. Okay. Thank you. Best of luck.
Olumide Soroye: Appreciate it. Thank you. Thank you, Scott.
Shyamali: Thank you. Our next question comes from the line of Joseph O'Dea with Wells Fargo. Please proceed with your question.
Joseph O'Dea: Hi, thanks for taking my question. Can you just unpack the iOS 4% organic a little bit more, the degree to which that surprised internally, sources of that surprise? And I think there's some consideration right now to whether things in the '25 just broadly general industrial demand kind of pushed and the degree to which that could have benefited Q4, your January comments make it sound like not so much, just trying to understand that strength a little bit more and the equipment side versus the software side. Any color there would be helpful as well.
Olumide Soroye: Yes. Thanks for the question. I mean, the short answer is this was really about our teams executing the Fortive Accelerator strategy much faster and much more in an impactful way than we anticipated. So if you just look at the key components of iOS, we've talked about Fluke quite a bit. That team just did a terrific job with the kind of end-of-year execution. And we saw stronger demand in some areas like our data center applications and defense. And the team just seized all of those opportunities and not just got the orders in, but also got the shipments out, and we ended up with very healthy backlog levels. So I will call it a story of just excellent execution. You know? And if you think about the kind of software businesses, the same thing, terrific job across the board by that team to execute on the strategy and get some things done faster than we anticipated. And the gas detection and environmental health and safety part of iOS, again, just strong execution to end the year. And just the energy that our teams are feeling. And as we go into the New Year, again, the outlook we've laid out here is not presuming a change in that that's significant either way from a macro point of view. What we're really banking on here is that we have confidence in our team's ability to execute the strategy and continue driving growth.
Joseph O'Dea: And then just circling back to your answer to Nigel's question, kind of the AI debate and thinking you made a comment about how your customers are looking for AgenTeq AI enhancements? And maybe just a little bit of detail or color there on the types of enhancements that you're currently working on or that are in the market to expand on the offerings that you have?
Olumide Soroye: Yes. And we've mentioned a couple of examples of those in the prepared remarks for today. We talked about ServiceChannel and the third main release they had in 2025 was launched in Q4. That included some AI-enabled enhancements. That's a business where we have a two-sided network and really the system of record for customers' repair and maintenance. So it's just a natural place for customers to activate a feature that's AI-enabled, and we rolled that out in Q4. We talked about some at Fluke on our call in Q3. So they're very kind of targeted enhancements that deliver real business value to customers. And these AI tools are really just an instrument to help unlock value that's AI-enabled but software-delivered. And that's the key because you have to land these things in the workflow software that customers can actually use. And this is enterprise customers we're talking about. So those are just a couple of examples.
Joseph O'Dea: Got it. Thank you.
Olumide Soroye: Thanks. Thank you.
Shyamali: Next question comes from the line of Scott Graham with Seaport Research Partners. Please proceed with your question.
Scott Graham: Hey, good afternoon. Very nice quarter. Congratulations. Olumide, I asked you a question at Investor Day last, I guess it was June, about the FAL business, and the business had been constantly kind of lowered, the growth outlook had been lowered by the former team and kind of landed in sort of that mid-single-digit area. Since then, we've had the government shutdown. But as that gets past us, I hope you don't mind if I ask you again, do you see FAL kind of sort of moving in steadying into sort of a mid-single-digit growth algorithm, let's say even beginning in the second half of this year?
Olumide Soroye: Yeah. No. Thanks for that question. Short answer is we really like the FAL platform and the potential there. And all three of our operating brands there have continued to strengthen their performance. And so we feel really good about that outlook. A little bit like I mentioned at Investor Day, we don't have a ceiling on what's possible with this business. And the confidence we have is it certainly would deliver and help us attain the financial framework that we've laid out. And how high it can go, we intentionally don't put a cap on it. And we like what we're seeing across all the brands. We think it's going to be a strong year of continued acceleration for that platform.
Scott Graham: That's great. Thank you. And then just quickly turning to ASP. I want to try to understand the dynamic here. I know that there has been consternation around CapEx from hospital customers, but that business is more a consumable business. So can you maybe help us understand a little bit the dynamic there, why that ASP has been weak for a couple of quarters now off of the concerns that the hospitals have. I understand that that's a spending thing, not just CapEx probably more broadly. But again, ASP is more of a consumables business. And I guess I thought it would not have been hurt as much by some of the pullbacks in CapEx. Could you walk us through that?
Olumide Soroye: Yeah. No. Thanks for that. And it's important because I think from a consumables point of view, from a services point of view, and in the software components of our AHS segment overall, those continue to grow and really steady contribution in Q4 to our growth. The key is the capital equipment, while it's not a huge percentage, the revenue recognition happens in quarter when a transaction happens, while consumables and services, they're wonderful because they're consistent over the life cycle, but capital is more concentrated in revenue impact. So that's where that remains the place where we have the pressure in really in Q2, Q3, and Q4. Important thing is it got progressively better. Q2 was sort of the wash, and it got better in Q3 and better in Q4. And our clients and customers continue to be a little bit cautious given what's going on with healthcare policy. But it's getting better literally by the week. And we like that trend. We're staying close to our customers. I was with some of them just a couple of days ago, earlier this week, and they love our team, they love our products, and we're with them as they try to sort through the spending challenges they have.
Scott Graham: Appreciate it. Thanks.
Olumide Soroye: Thank you.
Shyamali: Our next question comes from the line of Andy Kaplowitz with Citigroup. Please proceed with your question.
Andy Kaplowitz: Hi, everyone. Hello, Andy. So you mentioned some green shoots in areas such as Europe and Asia within iOS, but you didn't want to get too excited about those areas, I get. But maybe give more color into what is inflecting in those areas within Fluke, for instance, and what do you assess as the durability of the turn as you see it?
Olumide Soroye: Yeah. So, I mean, as you kind of get to read the approach we're trying to take, we're trying to be really clear-eyed and prudent before we call a single quarter a new trend. What I would say is for both EMEA and APAC and frankly LATAM, it was a story of our teams really settling into what the macro conditions were and executing much better. And that's really the primary thing that we saw in Q4. So I wouldn't call it a market inflection. We want to see a few more quarters of that before we make a call on that. But at this point, I'll describe it as we got better outcomes based on our team's execution, and, you know, we expect at some point the markets will get better, but that will be upside for us.
Andy Kaplowitz: That's helpful. And maybe we could focus on gas a little. I mean, what's going on in industrial scientific? Because I think you mentioned growing market share. Your teams are doing really well. What kind of growth are you dialing in for '26 sort of in that kind of business?
Olumide Soroye: Yes. So in terms of what's going on there, I think it's a great story. It's a great story of we've got a great market that delivers mission-critical safety solutions. We've got a great product that really leads the market in this hardware-as-a-service offering, which is kind of the exciting and fast-growing piece of that business for us. And we've got a great team that's excited about what they're doing and executing on innovation better than they've ever done, and we're investing in targeted markets. We mentioned the work they did in EMEA with investing in capacity, commercial capacity, sales capacity there, and that yielded results. And they also really just a new level of customer engagement in that business across the leadership team. And they have the support of our entire leadership team as they do that. So that's really what's going on. And as we look at 26, we've counted on that continued execution, and we've baked that into the outlook we laid out here. So we expect it to be a really strong year for that business.
Andy Kaplowitz: Appreciate the color.
Olumide Soroye: Thanks.
Shyamali: Thank you. Our next question comes from the line of Chris Snyder with Morgan Stanley. Please proceed with your question.
Chris Snyder: Thank you. I wanted to ask about iOS organic growth in Q4. I mean, I think you guys mentioned that Fluke was the growth leader in that segment for the quarter. But I was wondering if you could provide any color or numbers just on the respective growth rates for Fluke versus the software businesses within iOS. And then as we look into next year, I'm assuming the 2% to 3% organic growth guide underwrites something below 4% for iOS? So just kind of wondering, which of the categories is expected to decelerate from that Q4 number? Thank you.
Olumide Soroye: Yeah. No. Thanks for the question. Overall, I'd say all the elements of iOS contributed to our performance in Q4. I'd say they all did, frankly, better than we expected. So I wouldn't call it a Fluke-only story in that sense. And then as we look into what we're expecting for 2026 and your question on is anyone decelerating to get us from four to what we've effectively included in the guide here, look, the way I'd describe it is we expect all the businesses to contribute to the growth story here. And we're really, really confident that our teams are set up to execute effectively the strategy we've laid out. So, you know, I wouldn't call anyone with the expectation to decelerate. What we've reflected, frankly, in our guide here is we're early in the year, and we want to make sure that we set up a guide that gives us a chance to actually rely on our execution without counting on macros. And if things improve macro, saw some of the PMI data that came out. If that plays out as a sustained expansion, that will be upside. If things get better and government spend, that will be upside for us. But we've tried to be prudent and open-eyed in our guide here, not expecting that we're lowering our aspiration for faster growth in any way.
Chris Snyder: Thank you. I really appreciate that. And then obviously there's been a good amount of conversation already around, you know, what could AI mean for the software businesses. You know, there's market concerns on competition from that. I guess, is there anything metrics you could provide, whether it's around recontracting rates, new customer wins, that just give you confidence that these solutions are still have really strong traction in the market and are winning with customers? Thank you.
Olumide Soroye: Yeah. No. Thanks for that. And look, I realize the curiosity on this question is at an all-time high right now. The thing I would say on that is, and I described the substance of why we're winning and why we see this as LARADA. But I'll just say all of this business is for us continue to contribute a growth rate that's higher than our fleet. ARR growth is really strong. Gross dollar retention, which is the renewal rates, remain really strong across all these businesses. Our net dollar retention continues to get better, which means some of these AI enhancements we're adding on are actually driving expansion of what customers are paying us. And the customer use rate of these products are actually getting better for us because of the innovation pace that our teams are driving. So everything we see in substance, and not every software business is the same, been around software now for decades. And you have to be designing and what the actual business is. And for this enterprise, system of record type of things that we do, it's really all the metrics are encouraging for us.
Chris Snyder: Thank you. I appreciate that perspective.
Olumide Soroye: Thank you.
Chris Snyder: Thank you.
Shyamali: And we have reached the end of the question and answer session. I would like to turn the floor back to Olumide Soroye for closing remarks.
Olumide Soroye: Well, thank you very much for joining us. Thanks for your interest in Fortive. We are really excited about how the equity value creation story we're building is shaping up. First two quarters was new Fortive. We've accelerated top-line performance, reduced cost, repurchased 26 million shares, and we're pleased with how that set us up for 2026. But importantly, our focus here is really on accelerating our execution on the strategy we've laid out here. Teams are excited. Our customers are engaging. And we're just grateful for your interest and look forward to a terrific journey of value creation ahead of us. Thank you all.
Shyamali: Thank you. This concludes today's conference, and you may disconnect your lines at this time. We thank you for your participation.